Operator: Good day, ladies and gentlemen. Welcome to Klabin’s Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session when further instructions to participate will be provided. [Operator Instructions] As a reminder, this conference is being recorded. This conference call is being recorded and also being broadcast live via webcast and may be accessed at the website cast.comunique-se.com.br/klabin/3q18, where the presentation is also available. Before we proceed, I would like to clarify that any statements that might be made during this conference call in connection with Klabin’s business outlook, projections, operating and financial targets and potential growth should be understood merely as forecast based on the expectations of the company management in relation to future of Klabin. Such expectations are highly dependent on market conditions, on Brazil's overall economic performance, and the industry's and international market's behavior, they are therefore subject to change. With us today in São Paulo, we have Mr. Cristiano Teixeira; Mr. Gustavo Sousa and officers of the company. Mr. Teixeira and Mr. Sousa will comment on the Company’s performance during the third quarter of 2018. After that, Company officers will be available to answer questions that you might have. I will now turn the call over to Mr. Teixeira. Please begin sir.
Cristiano Teixeira: Thank you. Welcome to Klabin’s Conference Call to discuss third quarter 2018 results. We bring you a number that reflects what we considered to be an optimal pace of Klabin. As I mentioned in prior calls, that we normally achieved in the third and fourth quarters. This third quarter, in particular, we reached an adjusted EBITDA of almost the R$1.3 billion, an increase of 66% in relation to the same period of 2017. We have a 44% EBITDA margin. Puma presented a production of more than 400,000 tons up almost 15% vis-à-vis last year showing that it is running at its full capacity. This allowed us to reduce our leverage by 0.5 times with a strong cash generation thus confirming where we have been seen the declining trend of Klabin’s leverage. Now, I would like to take these initial remarks to highlight what we have been seeing over and over again about Klabin’s flexibility showing you that not only because we operate 50% in the domestic market and 50% in the experts market approximately, we still have the possibility of integrating our conversions, selling paper directly to export markets and domestic market. And when we talk about the ability to produce paper, we would to highlight our portfolio that has Kraftliner, semi-chemical Kraftliner, craft and paper, all types of coated board have now improved service. Not to mention our softwood, hardwood pulp and in softwood pulp the possibility of having bales and fluff. So this possibility of acting in all markets converting or not and being present, particularly in mainstream Brazilian and international markets, all of this makes Klabin a company well positioned to take advantage of the best results of the best markets that’s optimizing our margins. I will now turn the floor to Gustavo, who will go over our figures in more details and then I will be back during the Q&A.
Gustavo Sousa: Thank you, Cristiano. Good morning, everyone. To start our presentation, we are on Slide 2. As Cristiano mentioned, we have an adjusted EBITDA, which was an all time high at the company of R$1.248 billion, a 66% increase over what we posted in the third quarter of 2017. Our pulp production totaled 404,000 tons a record high since Puma’s start-up. Our sales revenue was R$2.807 billion, 26% up over third quarter 2017. And EBITDA margin, which was both a record margin of 44% versus 34% stated in the third quarter 2017. And we’ve already mentioned reduction in leverage of 3.9 times to 3.4 times at the end of September of 2018. Please go to Slide 3. Looking at our net revenue, we posted a 26% increase mainly due to a generalized improvement of our prices. Looking at our EBITDA, this mark of R$1.248 billion, a 66% increase and also looking at our EBITDA margin of 44%. This was not only an all time high record, but in this chart we see a consistent steady growth trend of Klabin’s margin. Please go to Slide 4. Here, first, we’ll address our pulp business. We had 12% increase in sales volume, because of an increase in the production at Puma unit as commented by Cristiano in the third quarter Puma went above its nominal capacity that also allowed a 72% increase in our net revenue. The prices of our pulp product had stronger price increases in dollar. Short fiber pulp was 20% increase and long fiber pulp 37% price increase. Looking at Kraftliner business, we had a 3% increase in sales volumes and also a price increase in dollars of around 11%, which contributed to an increase in net revenue up 39% – net revenue increased 39%. Please go to Slide 5, we’ll look at our pulp highlight. In pulp production in the third quarter, we had an excellent Puma operating performance. As I said, it was just above its phenomenal capacity. We totaled 404,000 tons. We also had a very good cash cost performance, the lowest cash cost ever in the history of Puma, R$628 per ton. In the second quarter conference call, we showed you the metric of cash cost for the month of June, which was R$651 per ton, so in this quarter we had a 4% reduction in cash cost. On Slide 6, we will give you more on our debt. We ended September with a gross debt of about R$20 billion cash and cash equivalents of R$7.3 billion and a net debt of R$12.8 billion. Our leverage metric measured by net debt over EBITDA ratio in this chart we presented in the green line in this quarter at 3.4 times, confirming our declining trend of leverage of the company. Also looking at the green column in the chart, we see metric of EBITDA – cumulated EBITDA in the last 12 months. In this quarter, in particular, we are at the 29th consecutive increment of this metric. Now moving to Slide 7 please. Here, we have our debt maturity schedule. Gross debt of R$20 billion with an average tenure of 48 months, 73% of this is dollar denominated, 27% in local currency, which tenured for local currency 38 months, average tenor for foreign currency about 48 months. The company has been following market window opportunities to lessen the maturity. We issued R$700 million in CRA and maturing in 2025. On Slide 8, we see our free cash flow. I will be making comments about the last column, last 12 months column. We had an adjusted EBITDA of R$3.7 billion, a free cash flow of R$1.3 billion, and an adjusted free cash flow excluding dividends and expansion projects of R$2.2 billion. This adjusted free cash flow have a yield of 11%. Moving to Slide 9. Here, we have our dividend. In the chart, we see that in the last 12 months involving third and fourth quarters of last year and the first and second quarters of 2018, we paid total dividends of R$615 million of dividend yield, up 3.2% including payment of dividends of the third quarter of this year, yesterday we announced the payments of R$340 million, a payment to be made on November the 14th. This payment is broken down into R$265 million of interest on equity and R$75 million of dividends. In the third quarter, the company’s strategy using interest on equity was windup the instruments to remunerate investors. This perspective was not included looking at the third and fourth quarter of 2018 as that transition the company chose fully the fiscal benefits generated by IOC to shareholders as of 2019, we are maintaining the cash generation conditions of the company and the current packs, the company intends to us the dividends in IOC, specifically gaining IOC it grows up the retention of income tax for individuals. With this, we complete our presentation and move now to the Q&A. Thank you very much.
Operator: All right. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Our first question comes from [indiscernible] with BTG Pactual.
Unidentified Analyst: Hello, good morning everyone. Thank you for the opportunity. I have first two questions. The first is about cash cost of pulp. You saw significant reduction in the cash cost in this quarter reaching R$628 per ton. I began to think that this cash costs level is sustainable looking forward. Is there a further potential for reduction. How feasible it is to expect this number looking forward. My second question has to do with consolidation in the industry. How do you see possible consolidation moves in the sector in recent weeks? We heard some players talking about divesting in the country and everything from this thing is clubbing could be a player in a possible faster consolidation move in the industry. Thank you very much.
Gustavo Sousa: Good morning, this is Gustavo. To answer your first question on pulp cash cost. It is important to highlight that we had a record Puma production. When that happens, we’re strongly impacted by a reduction of fixed costs. We understand that this level of production tends to be maintained. In that regard, this available was very important to us. It will presented a reduction of cash cost and we asked for turn of about R$24 per ton compared to the same period of last year, maintaining these conditions yes, this is the trend. The biggest factor to drive reduction and to improve performance in terms of our pulp cash cost with the generation of electricity. We have reduced the cash cost by about R$57 per ton. We have to remember that our power production is 70% sold in the long-term contracts. The remaining 30% is sold in the spot market. Specifically in the third quarter, we had a spot price of R$500 and that is available but we do not control. So to answer your question, the trend is that we will maintain production at these levels, excluding the power durable, we understand that we are at an adequate level of cash costs for the company. I’ll return the floor to Cristiano to answer your second question about possible consolidation?
Cristiano Teixeira: Thank you, [indiscernible] for your question. I think that’s an important fact to highlight is that Klabin is absolutely paying attention to moves happening in our industry. Klabin says, that we will see possibilities of consolidation in the market. If there are any opportunities in our radar we will inform you, we can only say that we are paying attention to what’s happening in our industry. Thank you very much.
Operator: Second question from Thiago Lofiego with Bradesco BBI.
Thiago Lofiego: Good morning. I have two questions. The first has to do with the next steps regarding CapEx and growth. I’d like to understand what is the timeline? Now that the political cycle is little clear, what would be the next steps? When should we expect approval of projects? And it would be Kraftliner, cardboard and fluff in that order. And the spread of this question, thinking about Kraft, the Kraftliner project, we saw some recent news about Chinese looking for production units of recycled paper in the U.S., which could have a negative impact on the global Kraft market. There are some restrictions in China but could contribute to rebuild that trend. I would like to understand, what you see? What’d you thinking about that? My second question has to do with the domestic markets. We have seen volumes gradually picking up a book for paper in conversion. What is your expectation for the fourth quarter for your main lines or primary lines in for 2019 as well? Thank you very much.
Cristiano Teixeira: Thank you, Thiago. Thank you for the questions. Regarding our expansion and growth projects we continued conducting our studies to optimize and get the best return on our projects. This is still being alive at the management level. Very soon we will feel [Audio Dip] to submit this for approval and for analysis. That’s where the order of priority. The Kraftliner machine continues the in same order as the first investment that we are focusing on. And as for the second project, coated board is probable option, but we would like to underscore as well as say that this investment, at least one of them, the investments for example, in the [indiscernible] unit, we are considering a production unit of brown fiber possibly integrating the two paper machines. The first in Kraftliner and the second one we are considering an option. It will probably be coated board, but we will have an option of using it for Kraft. So there’s an opportunity in the design of this project because the first machine, I apologize for being too technical, but it is important for your analysis. So the first machine would have lower weight and the second of Kraftliner would have heavier weight and it is exactly the design of this second machine with heavier weight that offers us an option Kraftliner or coated board. I would just like to point out, but these produces are still being considered by the management, at the company, we are considering other options as well. We are at a phase of optimizing the biggest to submit them for approval. As for growth, I prefer to speak about long fiber, softwood. We have some projects that are being considered that are still under analysis. As for the move of the Chinese in the United States, I prefer to look at those in a more structured way. The demand for fiber worldwide is structurally speaking, increasing. If we assess that in the long-term, no one has any questions or doubts about this. Paper is being very much recycled. What was driving now is a process of choosing the best of fibers, which to me has to do with better pricing of fiber. Fiber is no longer going to China with a high-level of dirt. And if they only allow cleaner fiber, this means that somewhere else this fiber will need to be better treated that’s where the supply of recycled paper is. In the corrugated box world we’ve been living with this, since the initial conversions of printing and writing machines to corrugated board. This has been addressed by the industry. We don’t see any risk of changes in this structural curve, because of the supply but we see the balance. So as you all know, the amount of times that they will use a box made of these papers, it can be used to five, six, even seven times and we always need to be using virgin fiber. At Klabin, all of the studies that we conduct focus in the case of virgin fiber investments. Always focused on those recyclability index, to what extent virgin fibers are necessary to maintain this market, elsewhere there is markets that are regulated for food, protein, et cetera that will always require virgin fiber. So we have new studies about these markets. And we are quite pleased about the structural view of this paper option. That’s for the domestic market. I think you asked about a forecast for the first quarter. We have third and fourth quarters in the domestic market that are quite good in the third quarter. We prepare for the holiday season. The fourth quarter continues strong until the month of November, ensuring a volume of shipment, which is high. That's when we achieve our peaks of containers shipping. So of course we have to see this moderately because we are in a cycle of economic ramp up, but we envision good volumes for the domestic market both for packaging and paper.
Thiago Lofiego: And a follow-up question. For 2019, can you speak a little about 2019? And going back to the first question about approvals is there any possibility that you will take this and you will submit this to the Board only in the first quarter of next year? Or do you think it's more likely that you will do it still this year?
Cristiano Teixeira: First, we’re guiding our 2019 forecast, so we've been working on our budgets. And we have some expectations as you do regarding the dollar exchange rate. And we will wait for the new administration in terms of fiscal policies and fiscal policy measures. So we can’t really do or make any forecasts for 2019 yet. The rest of the projects all to date if not for six months, they won’t change anything at this point. We're talking about investments that will be – will last for 30, 40 years. So we need to ponder a lot. The management is working on optimizing these projects. And as soon as this is consolidated in our mind, we will submit the plans to the Board. And then they will take as long as it is necessary to approve. The take home message here is Klabin, because it is a reference in cash cost and in profitability. I always like from this quarter. Klabin is not just a low cost producer. We are above anything the most profitable company in the industry. And this is what we pursue all the time. Since this is our primary characteristic and because it is easy for us to access fiber, we are always a candidate of large investments in the industry.
Thiago Lofiego: Thank you, Cristiano.
Operator: Next question from Marcos Assumpção with Itaú BBA. Go ahead.
Marcos Assumpção: Good morning, Cristiano. [Indiscernible] question, just give the preliminary impact in the reduction of plastic packaging consumption? Can this impact Klabin’s business in the future and to what extent? My second question, you did excellent work of diversifying your sales mix and bags. If the economy is stronger next year, with the cement market picking up again in Brazil, what should be the company’s strategy? And if you could comment on the difference of margin, when you sell domestic and when you export for the bags market?
Cristiano Teixeira: Thank you, Marcos. And thank you for your opportunity of asking about solid waste more specifically about plastic. You probably saw last week that the European Parliament approved to vote more than 570 votes for ban of single-use or one-way plastic. There might still be a protocol to be followed, but this should enter into force by 2021. When asked before about this, I always answered saying that in addition to behavior, consumer behavior, in this category they were normally called, I can’t really remember now, the profile of these consumers. But if younger consumers that work for more sustainable products, in addition to this consumer behavior or the millennials, yes the millennials I ended up getting, that’s the terminology. But in addition to millennials, consumer behavior these are new people more connected with sustainability. In addition to that, there is a behavioral change that is coming. If not just in the same that paper is continuing to replace all plastic manufactured worldwide. But I have a strong reference in my mind, which is regulation. When you have a strong regulation such as this one approved in Europe last week, we saw several moves by large players world-wide. But when a powerful confident, like Europe, when they see that they’re going to ban in the few years this fast consuming plastic, then we are no longer speculating. Then we start working on the valuation of companies. I have consulted some consultants and they were all very cheerful. They would always wait for regulation coming from government. But now, that we have this regulation approved by the European Parliament, I think that consulting firms will start calculating which products can replace one-way plastic and paper. No doubt about it. It is a product that is biodegradable manufactured from renewable forests which are certified. And so paper is definitely a great candidate to replace one-way plastic. At this point we haven't done official calculations to disclosing trends of substitution potential that can assure you that the upside for our industry is huge after this regulation. I would like to turn the floor to Douglas, our packaging officer, and he will speak a little about bags.
Douglas Dalmasi: Marcos, good morning. Thank you for the question. This flexibility that Cristiano mentioned at the beginning is just part of Klabin’s business. It is also a part of the bags business as well. So in bags, in the domestic market we have civil construction and also we have other markets we've been developing in recent years, the food market and others and we have the exports market. Looking at our margins, the margin in the exports, it is higher than the margin in the domestic market for bags. The civil construction market and the domestic market resuming growth at higher rates, we definitely have the challenge of finding the right adequate mix. We have projects for, number one, debottlenecking an increase in our volumes in our paper units to supply the converters and investing in conversions to supply of this market. The company wants to follow this growth. We want to invest in this growth, so that we can meet the goals of the development we’ve made in recent years. So it's likely saying, we have a good problem, we’ve developed the markets and now we have to invest to follow this growth.
Marcos Assumpção: Excellent. Thank you. Let me ask a follow-up question. Cristiano, regarding these corrugated box assets that might be available for sale, would anyone have a geographic complementarity with Klabin, or are most of them in regions where Klabin is already present?
Cristiano Teixeira: We haven't got into this level of analysis Marcos. We learned about one asset. And a call that we got last week and there's another one in the market, but we haven't done any analysis to disclose to you regarding that. It is important to say that overlapping is something to be evaluated. We have to analyze this based on our footprint and where there is an overlap. We always have to consider that consolidation even in a same given region tends to favor the industry. So we're not going to be looking just at the overlap if it exists. But we will consider consolidation in different regions of the country. We look at this as an opportunity.
Marcos Assumpção: Excellent. Thank you very much, Douglas and Cristiano.
Operator: Next question is English comes from George Staphos with Bank of America.
George Staphos: Good morning everybody. Thank you for taking my questions. Two questions for you Cristiano and Gustavo. From our perspective there has been some deceleration in the Kraftliner market, when we look at export pricing at the same time that there's been some increase in supply in terms of export from the U.S. Is this one of the factors that has been leading you to see some reduction in your own shipments on kraftliner or the two unrelated? The second question that I had for you, I think there was an earlier question regarding plastic versus paper. In our survey work where we talked to many of the independent box makers over time, we are finding that they too are expecting more move to fiber based packaging from plastic because of the environmental trends. Yet, it is not actually happening in terms of production and demand statistics at present. Why do you think the rate of change has been, at least from our advantage point comparatively slow? Thank you for taking my questions.
Cristiano Teixeira: Thank you for the question. I will continue in Portuguese. I’m sorry, but this is how normally come back to our conference call. Regarding a deceleration, a possible deceleration that you mentioned, the U.S. market of boxes. As you know very well, should close the year, posting a growth of about 1% in the United States. So we do over 1% box shipments showing the bigger of the U.S. economy, given its size and possibilities, particularly strengthened by e-commerce. In the month of August, we did see an increase in exports, if this persists, you are right. This could impact. It could have some pricing effect in the short-term, but we are always very attentive to U.S. exports and my answer is yes, in the short-term. But in the long-term, I think our industry is a long-term sector and structurally like I mentioned before we envision a demand for natural fiber based products which are renewable, which can replace plastic. And now I will connect this with your second question. Again, I repeat there's a trade off between short and long-term. I think in the short-term, I agree with the information you gave us that box makers do not feel this substitution in practice. They're not seeing it happening, but I want to link this with what I said before about regulation. Again, we see that behavior is changing, large brands are having a deadline for replacement, but they needed the regulation. It wasn't there yet, but I think that now this newly approved regulation by the European Parliament just last week is a strong message. It creates important determining factors structurally speaking for this migration to happen to paper packaging. Like I mentioned, I believe there's a great upside in our industry. We are very excited about this. And one last point, talking about kraftliner cycles. As you know, container machines in the United States who are between 97.5% and 98% of the installed capacity, U.S. assets are being studied by us. Up close, we look at the average age of assets. These assets are becoming more delicate and their general stoppages. They have recovery boilers that are over 30 years old, so this is a market that is right on the supply. So general stoppages have been in recent years, an important factor of analysis and pricing, and this should also consider weather characteristics that also creating greater concerns, particularly in the south of the United States already causing an impact on the market of installed capacity is right, just right. So combining the long-term vision, which are favorable with short-term issues, which are delicate that we continue to be optimistic at least for 2019 with our kraftliner curve.
George Staphos: Thank you, very much. I’ll turn it over.
Operator: Next question in Portuguese comes from Mr. Renato Maruichi with Santander.
Renato Maruichi: I have two questions. I think you mentioned pricing negotiations starting in the interfere, could you give us some color about that, that would be interesting. And in rough the domestic market has dominated by two players, you and one more player. Could you please elaborate on your strategy to gain market share in this market without hurting your profitability? My second question is a follow-up of a prior question on consolidation of packaging into domestic market, M&A is an alternative, do you think that this would have a significant impact on the pace of your organic growth or on the balance sheet of the company? This question was asked in the second quarter conference call. I just want to evaluate whether this has changed in the mindset of the company the quarterly comparison. Thank you.
Cristiano Teixeira: Thank you, Renato for the questions. I will get the – why does our pulp commercial officer and then maintaining – to answer your question about balance sheet, I’ll turn the floor to Gustavo. Let’s begin with Suzano. Well, look, you’re right, the warrant accounts are normally negotiated on a yearly basis and it is at this time at year that we signed contracts. So this year we have negotiations at much higher levels than what we had last year. Last year, we had a rate of about $1,100 per ton. That was the indication for fluff. This year we started negotiating it $1,345, in addition to this increase in the index itself, we now have two and a half years of experience. Our quality has shown that our product is highly accepted, not only Brazil, but worldwide. So now, we can price just like any mainstream manufacture in the market, we are over the qualification phase. So our price now, it’s totally in keeping with large players and we take the opportunity now to start selling the project at a level that we can reduce the levels of discounts that we were offering. So there’s a trained up reducing discounts and this year we are negotiating at a level of $1,345 as a starting point for 2019. Now I’ll turn the floor to Gustavo, who will elaborate on your second question.
Gustavo Sousa: Thank you for the question, Renato. You asked what the company’s vision for potential consolidation moves in the Packaging segment in Brazil. So begin with there is no change in the company’s vision regarding any type of alternative or opportunity in this sector. It is important to underscore that Klabin, the largest packaging – on the largest company the Packaging sector in Brazil, we will always look at all possible or possibilities of consolidation in the sector. But this coin has two sides. One is, it has to make commercial sense. A consolidation has to be attractive for the company with the right price and the right return on the investment. And the flip side is whatever the investment move; it has to make sense according to the financial policy of the company. So in a nutshell, given the size of Klabin will always consider all alternatives and we’ll have to combine attractiveness of a possible consolidation with our financial policy.
Renato Maruichi: Very clear. Thank you very much.
Operator: Next question is in English comes from Mr. Carlos de Alba [Morgan Stanley]. Please go ahead.
Carlos de Alba: Good morning everyone. So, Cristiano, I heard you mentioned that Klabin is the lowest cost producer in the world for kraftliner I guess. So why does it taking so long for a company to announce the project to go ahead. I mean, I see the Russians and other producers announcing projects. And I understand that U.S. is also growing, but if Klabin is the lowest cost producer and now that we see some relations in Europe benefiting the use of paper. So why – why not be more aggressive on expedite the approval of the process of the kraftliner. And my second question is, how do – how are you thinking, maybe, Gustavo, this is more for you. how is the company thinking about the dividends – the dividend payments, once the products are approved, do you believe that you can sustain that minimum level of dividends? And maybe even if that requires a bit more leverage or would the company, for your advice, CapEx even if that means not paying dividends for a few years? Thank you.
Cristiano Teixeira: Carlos, thank you for the questions. I will start answering your question about the speed and then I will turn the floor to Gustavo. So regarding speed, I would like to mention again what I said before. This is an investment that will last for decades. And so the decision-making process has to consider a complex status solution. We have devoted our best of our engineering group to make the best decision, always thinking about optimization, thinking about finding what is the best and the most resilient EBITDA to be generated by the company. And we are doing this analytics, considering the necessary timeline to submit the project with a higher level of safety to our board of directors. I will now turn the floor to Gustavo to answer your second question.
Gustavo Sousa: Thank you, Carlos for the question. Well, to begin with, we’re still talking about growth projects under analysis and under discussion. As Cristiano mentioned, focus on optimization and that have not been submitted for progress of the board. So, it’s important to make these preliminary remarks before we say anything about the future of projects that are at a final stage of validation by the management. So, I have to start talking about where was standard Klabin today. Well, we have shown in the recent quarters is a strong journey of deleveraging. So, whenever we consider an investment cycle that will happen in coming years, whatever the format that we put on the table, we are definitely talking about implementation of projects in a timeline of four to six years. So we are also talking about an increase in leverage that will happen in the future when Klabin will be at a leverage level, which is quite lower than the current one. So it is very important to take that into account. Having said that, we don’t consider a change in the current practices that the company regretting dividend payout. in that regard, although the projects are still being discussed, considering the continuity of a trajectory of deleveraging, we are not planning or forecasting any change in the current practices of the company, specifically regarding dividend payout.
Carlos de Alba: Thank you.
Operator: Question in Portuguese comes from Renan Criscio with Credit Suisse.
Renan Criscio: Hello, Gustavo, Cristiano. Thank you for taking my questions. Actually, I have one question. We heard some news regarding the possible re-negotiation of royalties with the Klabin family. Could you speak – could you give us an update of that discussion, is it moving forward, is there a deadline for this to be resolved?
Gustavo Sousa: Renan, this is Gustavo. Thank you very much for the question. Indeed, there was news and that generated a question from the regulator, CVM. a question they asked with the company and we answered that with a public answer to those official letters from CVM. This possible negotiation regarding the current mechanism of royalties that we have while we clarified in our advisories that there is some discussion, but nothing has evolved formerly. they would require communication to the market. We’re still at the stage as we communicated through a regulator of the capital market.
Renan Criscio: Very clear. Thank you.
Operator: Next question from Gabriela Cortez with Banco do Brasil.
Gabriela Cortez: Good morning, everyone. Thank you for taking my question. I would just like to confirm, kind of asked about deleveraging. So considering in the future when these projects enter the phase of investment, the leverage level will be lower as you said. What is the level that you would consider to be optimal to start investing? What is the target for the company? And just to confirm a question regarding Puma Unit, what is the expected annual nominal capacity of that plant, please?
Gustavo Sousa: Gabriela, thank you. Starting to answer your question about deleveraging. This is a very relevant question, particularly when we consider our growth cycle. The company works with a policy or a guidance to be communicated together with the approval of projects if and when this happens. Although we have an internal view of what would be an adequate debt level. In the cycle of project implementation we haven't disclosed that this yet. We are working on optimizing the metrics of the project, but together with that we are working on what would be the leverage level along the lifecycle of the project. Unfortunately, I cannot give you figures, policies, or details. As for the second question, regarding nominal capacity of Puma at this moment in the 12 months we expect the capacity of 1.550 million tonnes being produced at Puma.
Gabriela Cortez: Perfect. Thank you very much.
Operator: Ladies and gentlemen, if there are no further questions, I would like to turn the floor to Mr. Cristiano Teixeira for his final remarks.
Cristiano Teixeira: Thank you very much for your questions. I would like to make some final remarks about those moments of the packaging paper segment, and what the segment is going through. We are living in a unique moment in this sector, perhaps one of the high points of the sector where opportunities are out there in front of us. We’re considering a more responsible goal that is asking questions. And we are positioned as an industry that offers packaging that can allow composting and recycling, favouring a circular economy because our product is already highly recyclable. So a little bit about Klabin in this context, I would like to highlight, but you already know the strength of Klabin in our forestry assets. We’re an absolutely competitive company in our industry. We are a company that seeks optimal efficiency of our machines, trying to be modernized with new assets. In the last two years, the company has been very operational in research and development. This was a little dispersed at the company before, but now this is all-in-one single location. We are investing heavily in R&D, trying to overcome natural barriers for our packaging paper in addition to all other research that we are exploiting. And I'd like to mention the pillars of our business. Klabin is a company that is more and more integrated in its chain of production, trying to consolidate the industry, trying to work closer together with end users, always ensuring services and above all better returns on our assets and better returns to our shareholders. So Klabin is positioned at a historical moment for the industry as a great player that is well positioned to move ahead with great projects of growth. Talking a little about expectation since we always do regarding the fourth quarter. As I said before, the third and the fourth quarters are strong quarters for Klabin and we expect a pace to be as good as in the third quarter. So we expect a great pace in the fourth quarter. Thank you very much for your questions. Thank you for participating in this conference call and I expect you to join us again in the next quarter. Thank you very much.
Operator: This does conclude Klabin’s conference call. Thank you very much for your participation and have a nice day. Thank you for using Chorus Call.